Yoshihiro Hasebe: Thank you for attending our Financial Results Briefing for the Three Months ended March 31st, 2024. I will walk through the materials in your hand in order. First of all, please turn to Page 5. To summarize the first quarter, we have achieved profits that exceeded the plan as K27 progressed smoothly after the structural reform. The following four points are the results of our efforts since last year. First, we generated profits through structural reforms. The effect of reducing fixed costs in Merries has begun to emerge and the adjusted selling prices through high value-added products are beginning to penetrate, which means that the earning power is starting to recover. Secondly, by focusing on marketing and increasing customer loyalty, we were able to improve the competitive advantage of the core brands. As a result, Attack and CuCute have not only kept their top market positions, but further gained market shares and profit margins. And thanks to the success of new marketing activities, Laurier's market share and profits have also increased. Thirdly, we ramped up global rollout of high value-added products. I will explain this in more detail later in the section on the progress of three areas. Fourthly, Chemical business turned around and contributed to profits as planned. This is not simply about a recovery in demand, but also a proof of the fruits of our efforts since last year, including high value-added products and capital investments. Please turn to Page 6. Net sales increased by 5.2% to ¥365.8 billion. Without currency effect, sales increased by 0.4%. Operating income was ¥22 billion, which was higher by ¥14.7 billion year-on-year. Operating margin was 6.0%. Net income attributable to owners of the parent was ¥16.5 billion, rising by ¥11.7 billion. Earnings per share was ¥35.43, an increase of 241.9% over the previous year. Please refer to Page 7. Key points of the results. In the first quarter, operating income increased by ¥14.7 billion year-on-year to ¥22 billion. The emergence of the effects of structural reform, including selling price adjustments from the shift to high-value products has made a significant contribution. Operating margin of Fabric and Home Care recovered to 16.1%, while the Sanitary Products returned to profitability. These two improved operating income by ¥10.5 billion. Cosmetic business were in line with the plan, with sales growing at 2%. We are focusing on global brand development. In the Chemical business, operating margin recovered to 8.6% and operating income rose by ¥4 billion. We will continue to strengthen our portfolio management to achieve ROIC and EVA targets in Q2 onward. In addition, we will accelerate the transformation of our Hair Care business and continue to strengthen global expansion in Skin Protection business. Please turn to Page 8. Net sales were JPY 365.8 billion, higher by 0.4% in real terms. Overall sales of consumer products business rose by 2.2%. By geography, sales in Japan grew substantially by 6.2%, while strong sales of Hair Care and Cosmetic products in Europe led to plus 8.5%. Meanwhile, first quarter in Americas was affected by a rebound from the temporary demand for hair salon products following a price hike in Q2 last year. However, from Q2 onwards, we plan to expand Jergens Natural Glow, Biore UV and Bondi Sands. In addition, new Hair Care products such as John Frieda are off to a good start. In Asia, due to the continued impact of ALPS- treated water in China as well as profit prioritizing measures in Indonesia and Thailand during the transition to ROIC-oriented management, sales were down 10%. In Chemical business, sales decreased due to the impact of sales price adjustments following the decline in fat and oil prices, but volume and profit increased with the operation of new facilities for Tertiary Amines and other products. Please refer to Page 9 next. Let me explain the key points of Q1 segment performance, focusing especially on the operating income. Please refer to the third row from the bottom. As for the breakdown of 2.2% rise in the sales of entire consumer products business, volume was down 0.5% due to the impact from Merries and Healthya and the 2.6% hike in sales price contributed to a substantial rise in operating income of plus JPY 11.4 billion year-on-year to JPY 14.8 billion. Operating margin improved by 4 percentage points to 5.3%. In particular, contributions from Hygiene and Living Care business was significant. Operating margin of Fabric and Home Care improved by 8.1 percentage points to 16.1%. Sanitary products achieved profitability, thanks to the effects of structural reforms. In Health and Beauty Care business, results were slightly negative in terms of pricing due partly to the impact of product mix. However, higher volumes contributed to improved profit. In Life Care business, sales declined because of the beverage business, but profits improved. Cosmetic business posted a 2% increase in sales due to price hikes and other factors, but profits were flat year-on-year due to lower sales in China. The impact of structural reforms, including career support are expected to be realized in the second half of the year. Also in Chemical business, sales dropped due to the lower selling price following the decline in the natural Fat and Oil prices. Operating income, however, was better at JPY 8.1 billion because of price revisions and focus on high value-added functional materials and other products. Operating margin improved by 4.1 percentage points to 8.6%. Please turn to Page 10. This chart analyzes the breakdown of plus JPY 14.2 billion, which is the difference in the core operating income in Q1 2023 and operating income in Q1 2024. In Consumer Products, while raw material prices rose by JPY 2 billion, price revisions, including focus on high value-added products and structural reforms made a big contribution. The effect of structural reforms are distributed to selling price section on the chart as improved earnings power and to other cost of sales. These contribute to about half of the increase in profit. In addition, the recovery of demand in the chemicals industry, higher value-added products and selling prices adjustments, which led to JPY4 billion improvement in gross profit are also contributing to higher profit. Please turn to page 11 next. As a result of the structure of reform, gross margin improved by 4.4 points year-on-year. Price revenues through high value-added products, change in the product mix and reduction of depreciation and amortization, personnel and fixed costs, these are the evidences of our efforts since last year. From Q2 onward, we will implement strategic price increases to pass on the expected rise in raw material prices and other costs. In addition, we will also promote price revisions through high value-added products in order to secure profits. In the meantime, with regards to reforming our earnings power, which we will work on in a multifaceted way, we will visualize the contents and monitor them precisely. In order to achieve our ROIC and EVA targets set out in K27, we will continue to improve on efficiency by streamlining SKUs and reducing fixed assets, including inventories. With the structural reform, as a starting point, we will achieve a V-shaped recovery. Please turn to page 12. As announced, we expect the operating income to be JPY130 billion. This chart shows the comparison of core operating income for 2023 and the forecast for 2024 based on the results of the first quarter, effects of structural reforms are expected to be more than the initial forecast of JPY18 billion. Marketing expenses will be effectively deployed but are planned to be increased for global expansion. Other risks such as raw material price hikes based on geopolitical risks and the Chinese market are taken into account. Let me explain the details. As mentioned on the next page, we expect raw material prices to rise from the second quarter onward and see an annual increase of JPY8 billion. We will pass on this JPY8 billion in price increases and add another JPY12.5 billion to profit per year by selling prices according to high values added. That would bring up profit by a total of JPY20.5 billion through price adjustments. In addition, contribution of JPY12 billion is expected from the increase in the volume of consumer products, including new products. Other cost of sales includes the effects of the impairment loss of Merries booked in 2023 and lower labor costs of beauty advisers. In Chemicals, tertiary amines and fragrance production facilities that started operation in Europe will contribute for the full year, and volumes of performance chemicals and information materials are also expected to increase, including higher value-added products. In addition, the gross profit margin will improve by JPY 12 billion due to an improvement in the profit of oleochemicals as a result of higher prices of fats and oils. In addition, SG&A expenses are expected to increase by JPY 8.5 billion from the previous forecast to JPY 25.5 billion, incorporating the spending on marketing for skin protection and cosmetics to ramp up global rollout, and increases in personnel and other expenses to cope with inflation. As a result, the operating income is expected to be JPY 130 billion. Please turn to Page 13, which shows the forecast of raw material prices. Raw material prices in the consumer products business fell from a year before by JPY 2 billion in the first quarter, but will increase year-on-year from the second quarter onward. In addition to natural fats and oils, crude oil and domestic NAFTA prices will rise. For packaging materials, in addition to higher NAFTA prices, higher labor costs for processing will be taken into account. Energy and logistics costs are also expected to rise, resulting in an increase of approximately JPY 10 billion from the second quarter onward, or JPY 8 billion for a full year. We plan not only to pass on those increases in prices, but also to increase profits by reforming our earning power, for instance, through adding higher value. Please turn to Page 14. From here, I will explain about ramping up of global rollout of high-value-added products using three slides. On page 14, our skin protection business, consisting of UV care and self-tanning, as a prime example of our global sharp top strategy, will be accelerated starting this year. Driven by Bondi Sands joining Kao Group and China, sales grew by 30% year-on-year. As for Biore UV care in China, Aqua Rich Aqua Protect Mist and Aqua Rich Aqua Protect Lotion Water Layer Pack, which were very well-received in Japan last year, were quickly launched, resulting in a 24% increase in sales year-on-year. We are promoting the use of UV cameras to visualize unevenness in application and other digital contents to attract new customers in younger generation. In Bondi Sands, we will promote brand awareness, expansion, and trial use this year, especially in North America, focusing on digital marketing measures through social media. We will also ramp up global rollout of high-value-added products in each of other regions. Please turn to Page 15. Regarding SENSAI, in various regions, SENSAI is steadily consolidated in its position as a luxury skin care brand, especially among wealthy customers. In Europe, our main market, in Germany in particular, eye hair essence, a new product launched this fiscal year, and Mask’s in the highest price range have been performing well, and we achieved the number one market share in the Mask category and number two ranking in the skin care category. Next is Curel, where we aim to be the world's most useful brand for people with dry and sensitive skin. In China, the Essence launched at the end of February as a locally produced and consumed product, increased 30% in sales compared to the plan. It received a trend award from a beauty magazine and award from the Chinese Society of Dermatology. Finally, for KATE, we are promoting KATE's unique worldview and products to young customers, mainly through digital marketing in each region. In the first quarter results in our main stage Japanese market, we achieved the number one share in the lipstick, eyeshadow, eyeliner and eyebrow categories and secured the number one position in the self-selection makeup market for 21 consecutive years, solidifying our position as the number one brand. Please turn to Page 16. In the Japanese market, we have started a transformation of our hair care business in our effort to reorganize the formation of hair care brands, in addition to strengthening the existing three mask brands through rebranding, we have started full-fledged entry of high premium brands into the expanding high-priced segments. Through these efforts, we will enhance our overwhelming number one position in the Japanese bath products market. That’s the first offering for our full-fledged entry into the expanding high premium market we started selling note, a new hair care brand that proposes beauty care for relaxing moments to care for hair while unwinding in some stores since March. In terms of note marketing, we are developing real-world experience sites and various measures targeting consumers with a high sensitivity to beauty using distal technologies. The brand has been rising steadily in sales and were received by retailers, although there has been only a short period of time since its launch. We will continue to nurture the brand and develop into a representative brand of high premium products. Oribe, a prestige brand for hair salons continues to grow steadily. In the European region, a particular target for expansion, sales grew by 60% year-on-year. In terms of our position in the US market, we have built the number two market share in shampoos and conditioners and number one in styling agents in the high-end market, respectively. And in addition, we have built a strong positioning as number two in the e-commerce tunnels and number one in department stores. The key to those successes is Oribe's community creation activities through a luxury experience will expand this successful model globally in the future. We will build a model that will lead to increased loyalty and repeat business by enhancing empathy for both Oribe and Melt. Please move to Page 17. Key highlights explained at the outset are shown again here. We are on track to achieve K27. In the first quarter, I believe we were able to demonstrate the profit generation through structural reforms. This effect will continue in the future. On the other hand, we will steadily reform our earning power, starting with the Japanese market by improving the competitive advantage of our core brands. Then we will ramp up global rollout of high value-added products, including chemical business, which we hope will lead to further growth. Please take a look at Page 18. This is the last page and describes the major upcoming events. As mentioned in today's presentation, marketing strategies utilizing DX are important for ramping up global rollout in the future. We will hold a briefing on DX Strategies in June. Furthermore, in the second half of the year, we also plan to hold a briefing on strategies for the Hair Care Business, which we have positioned as a business transformation area. I look forward to your participation. This concludes my presentation. Thank you for your attention.
End of Q&A: